Operator: And thank you for standing by. Welcome to Netskope Third Quarter Fiscal 2026 Earnings Conference Call. [Operator Instructions] I'd now like to hand the conference over to Michelle Spolver, Chief Communications and Investor Relations Officer. You may begin.
Michelle Spolver: Good afternoon, and thank you for joining us today. With me on the call are Netskope's CEO and Co-Founder, Sanjay Beri; and CFO, Drew Del Matto. The press release announcing our financial results for the third quarter of fiscal year 2026 was issued earlier today and is posted to our Investor Relations website at investors.netskope.com, along with a supplemental presentation. Before we begin, let me remind everyone that some of the statements we make on today's call are forward-looking, including statements related to our guidance for the fourth quarter and full 2026 fiscal year, growth opportunities and competitive position. These forward-looking statements are subject to known and unknown risks and uncertainties, which could cause actual results to differ materially from those anticipated by these statements. Additionally, these statements apply only as of today, and we undertake no obligation to update them in the future. For a detailed description of the risks and uncertainties, please refer to our SEC filings as well as our earnings press release. Finally, unless otherwise noted, all financial metrics we discuss on this call other than revenue will be on an adjusted non-GAAP basis. We have provided reconciliations of these non-GAAP financial measures against the most directly comparable GAAP financial measures in our earnings press release. Now let me turn the call over to Sanjay to discuss our business and high-level Q3 financial performance.
Sanjay Beri: Thanks, Michelle. Welcome, everyone, and thank you for joining us to discuss Netskope's third quarter fiscal year 2026 results. I'm very pleased to be here on our first public earnings call following our IPO in September. Our founding vision was anchored in redefining security and networking for the modern era of cloud and now redefining it for the modern era of cloud and AI. We see that vision realized every day. Netskope is the secure and fast on-ramp to everything enterprises access from the Internet, including websites, cloud and AI to their own infrastructure, private apps, LLMs and data centers. We are helping thousands of enterprises modernize and operate safely in both cloud and hybrid environments. This is happening in the context of an ever-evolving landscape of sophisticated threats, exploding data volumes and the fast accelerating revolution of AI. With a projected total available market size at $149 billion by 2028, Netskope's opportunity is massive, and we are truly just getting started. Turning to our Q3 metrics. I'm proud to say that we delivered very strong performance across all key metrics. Our team executed exceptionally well, continuing to expand our global footprint, innovate and extend our market-leading fully converged security networking and analytics platform and demonstrate accelerated top line growth while generating incremental leverage from our foundational investments. This strong execution resulted in a 34% year-over-year increase in annual recurring revenue, reaching $754 million and Q3 revenue growth of 33% to $184 million. Prior investments in our Netskope One platform and NewEdge global private cloud network continue to demonstrate significant leverage. We built Netskope to scale, and that is reflected in our ability to generate $11 million in free cash flow in Q3 as well as improved operating margin by 11 percentage points year-over-year and deliver free cash flow margin of 6%. Our Q3 results also showed robust performance across all geographies, driven by continued adoption of our Netskope One security networking and analytics platform of products. This adoption is reflected in a strong net retention rate of 118%. We also achieved broad vertical diversification, including expanding across financial services, health care, manufacturing, energy, retail and government. Drew will give more color on our Q3 financials and other key metrics in a few minutes. But first, let me share some context on the trends shaping our business and driving our momentum. Cloud and AI have completely revolutionized work. We are more dispersed, more productive and more automated than ever, and the pace of change is accelerating. Not since the Internet has there been such a transformative shift. Organizations today gain competitive advantages by leveraging a dynamic ecosystem of devices, applications and AI agents that interact and communicate using the modern language of the Internet. These interactions are accelerating in speed, scale and complexity, generating massive amounts of data across tens of thousands of SaaS and AI apps, websites, public cloud, on-premises systems, e-mail, endpoints and data stores. The vast majority of this data sits outside corporate IT's visibility and control, and the rapid adoption of generative and agentic AI is like throwing gasoline onto the fire, creating even more data, more ways to misuse data and more risk for data loss. Cloud and AI have also transformed the cyber threat landscape. Adversaries are finding new ways to trick organizations and their employees into downloading and opening high-risk file types, such as executables, archives, documents and scripts while evading inspection. They are also targeting cloud and SaaS apps directly, stealing tokens and credentials and luring victims into authorizing the attacker to directly access their data, bypassing the endpoint completely. These cyber threat actors are leveraging AI to accelerate their attacks, whether it be through deep fakes and social engineering or in finding zero-day vulnerabilities in software. This has created a need for modern security and networking solutions that enable organizations to use cloud apps and AI, but facilitate access in a way that doesn't put corporate assets at risk or degrade network performance. Legacy and first-generation cloud security and networking providers manage access to applications by giving administrators the binary option of blocking or allowing applications, thus creating a difficult trade-off between employee productivity and corporate security. These solutions were built during prior eras when security and networking requirements were different, users worked differently and attackers themselves were far less sophisticated. All of this reinforces why enterprise buyers are highly focused on making smarter investments in platforms built for the modern world of cloud and AI. They strive to spend more intelligently by cutting operational overhead and investments in legacy products that cannot address today's problems. Today, IT security and networking teams need a comprehensive yet adaptive approach to protecting their users and data while safely enabling the use of cloud and AI. And that is why Netskope was created. That is exactly what we deliver, and that is what is driving our growth and market leadership. For those new to the Netskope story, let me explain. Netskope sits at the intersection of security, networking, cloud and AI. We uniquely enable enterprises to modernize their security networks and use the cloud and AI securely in their organizations, all while delivering an exceptional end-user experience. Our Netskope One platform was designed for a world where users, devices, applications and AI agents can access anything from anywhere. Our platform reads the language of the modern Internet, including APIs, JSON-based data flows and machine-to-machine protocols. It understands digital interactions at a granular level, determines who or what is involved, what they're trying to do and with which data. We can then enforce granular policies and put appropriate guardrails in place to allow IT business leaders to safely say yes instead of no to unleash innovation, business efficiencies and intelligence from the cloud, web, SaaS apps, private apps and AI, including generative AI. We also understand data and data interactions with unmatched precision and context. We discover, classify, analyze and protect data in real time, in motion and at rest either in SaaS apps, public cloud, generative AIOs, agentic AI workflows, websites, e-mail endpoints, data lakes or on-prem apps. We can track movement of that data across different parts of an organization and make sure it's being used in the right way by enabling organizations to implement granular policies around their most sensitive data based on risk and context. We do all this through our Netskope One platform of over 20 security networking and analytics products that were purpose-built organically from the ground up to be unified. One engine, one console, one client, one gateway and one global network that all operate seamlessly and simply together to deliver the best security and performance with fewer resources to implement and operate. This is an important distinction for Netskope and our customers. It means that when customers adopt one of our Netskope One products, it's much easier and efficient for them to implement and operate the second, third and subsequent products. Our customers view this as a tremendous benefit and realize that all platforms are not created equal. A platform isn't merely a collection of organic and inorganic products bundled under one price list. A true platform is defined by genuine integration and seamless unification. Customers also get an exceptional end-user experience from Netskope. This is in part due to the fact that our Netskope One products all run on our NewEdge private cloud network, which is one of the world's most connected and high-performing networks. NewEdge has been architected to be an intelligent, highly scalable, low-latency global network with each data center designed to run our full stack of integrated products at high speed to every customer worldwide. In security, there's always been a paradox that if you add functionality, it makes things slower and the end user experience worse. Netskope shatters this paradox with NewEdge and our Netskope One platform. By converging security networking and analytics and a unified platform on NewEdge with shared context, intelligence and policy enforcement, we reduced latency for end users even in the largest, most complex environments and also provide data sovereignty not afforded with other infrastructures. To do this correctly, we also recognize that network infrastructure and operations teams need advanced capabilities. And so we built products like Netskope One DNS-as-a-Service, Cloud Packet Stream and Dedicated Egress IP addresses so that our customers could regain control over how traffic gets managed. In many cases, NewEdge becomes our customers' new network, ensuring high security without degrading network performance or the user experience. Finally, it's important to point out that AI is foundational to the Netskope One platform. It is not an add-on or a feature. It is fundamental to how we operate and even innovate. AI is intrinsically woven into our platform for superior threat detection, proactive data protection, digital experience management and the enablement of the adaptive real-time policy enforcement I just mentioned. Our commitment in this area is powered by 2 distinct world-class internal teams that work closely together and have been in place for many years. Our Netskope Threat Labs, a team whose experts have discovered over 1,400 zero-day threats in the wild and Netskope AI Labs, which has created more than 170 proprietary AI and ML models and holds over 50 patents specific to AI and ML applications in security. These teams ensure that our platforms remain technologically superior and ahead of the constantly evolving cyber threat curve. I've spent a lot of time over the past months in one-on-one small group and advisory Board meetings with customers and prospects around the world. Across my many discussions, one theme stood out, how to safely adopt cloud and AI at scale. Organizations want to modernize their security and infrastructure, reduce technology sprawl, safeguard sensitive data, ensure data sovereignty and manage GenAI and AI safely. The adoption of GenAI and custom AI tools is occurring at lightning speed. And with it comes even more data, a new and more complex attack surface and the need for internal resources to manage and secure these tools. IT leaders want to responsibly allow employees to use productivity-enhancing AI apps and tools safely and with appropriate granular guardrails to reduce risk while actively fostering innovation and efficiency. They also want to safely use AI models and apps to connect to internal and external tools and data sources, allowing the AI to perform actions like accessing files, querying databases or calling APIs. Netskope has a distinctive ability to help customers achieve this balance based on the technology differentiators I just explained. This includes understanding the modern language of GenAI apps and their detailed digital interactions with both humans and nonhumans at a very granular level. For example, the preciseness and depth of our ability to recognize the AI application, trusted originating device browser user or agent, the instance of the app, the activity being performed, the data being transacted with and returned and the normal behavior expected and troublesome deviations. This all leads to broad and precise discovery, visibility and protection and granular adaptive policy enforcement for AI. We have over 1,000 customers using us today to protect GenAI interactions, and this number is continuing to grow quickly. When securing AI end-to-end, it helps to use the analogy of a house. AI has a basement, a back door and a front door. The basement is the AI platform itself, which must be scanned for vulnerabilities, misconfigs and unintended access and includes proprietary data used by LLMs that requires granular controls to keep sensitive information locked down. The back door represents interactions with external data, LLMs, MCP and other agent-to-agent traffic, which must be monitored and secured in real time. The front door is where users and agents interact with AI and production, requiring granular controls on prompts and responses to prevent data leakage and block malicious behavior. And of course, every other entry point must be protected so that AI systems and data are accessed only as intended. Our current platform enables customers to protect key areas of this AI house, and we have many exciting innovations on the horizon in this area. Let me now pivot to some of our key achievements during the third quarter, beginning with go-to-market. We saw significant customer wins across verticals and geographies. We landed important net new and expansion wins with customers seeking to modernize their security and infrastructure, address greenfield use cases, consolidate vendors and replace legacy and first-generation cloud security products with our Netskope One platform. Common use cases included enabling fast and secure cloud, web and AI access and secure application usage, including for generative AI apps, achieving highly effective and efficient unified data awareness, protection and loss prevention, both for data in motion and at rest and simplifying and modernizing infrastructure, including replacing legacy VPNs with our Zero Trust architecture, branch firewalls with our SD-WANs and migrating their networks to our high-performance private cloud. Notable wins during the quarter included a Fortune 200 biotechnology company that replaced multiple legacy and first-generation cloud security tools with a unified SASE deployment of over a dozen Netskope One products. Also, a Fortune 50 global pharmaceutical retailer that selected Netskope to redesign their Internet edge connectivity supporting 50,000 employees in 8,000 locations. They purchased several Netskope One products to construct the Zero Trust architecture for their globally distributed enterprise environment and safe AI, cloud and SaaS app usage, including generative AI. We also won a global manufacturing and energy conglomerate that chose Netskope for data protection, secure cloud access and NewEdge global scale connectivity to meet strict data sovereignty requirements. And finally, a financial institution that previously attempted to modernize its environment using another cloud security vendor, but was unable to get the implementation operational due to platform complexity and architectural overhead. They selected Netskope for true platform unification, from network to gateway to client and to console across all their use cases, including secure web access, data security posture management, Zero Trust application access, cloud firewall and SD-WAN. All these new logos were won against primary competitors due to Netskope's superior technology that shined in bake-offs. And all were platform wins that included multiple Netskope One products. Multiproduct adoption has been increasing and is a key driver of our accelerating ARR and strong NRR. As of the end of Q3, 53% of our customers were using more than 4 Netskope One products and 26% were using more than 6. Expanding with existing customers through cross-sell and upsell of more products as well as more regions, more applications or more users represents a large growth driver for us, and we continue to execute well on this in Q3. A few notable expansion wins were a major SSE contract with one of the largest U.S. federal civilian agencies that increased from a piloted project of a few Netskope products for 7,000 users to 8 products for 300,000 users. Netskope was selected to address critical security needs, meet M-21-31 cybersecurity requirements across levels EL1, 2 and 3 and protect sensitive data across all cloud apps. We delivered a single FedRAMP High platform with no reliance on VPNs. That enables efficient, modern Zero Trust, advanced security and meaningful cost savings. And we also won another sizable multiproduct expansion deal for a large SASE deployment. This customer, a leading supplier to the global automotive industry, began its journey with us 2 years ago, initially purchasing a small footprint of core products for a small portion of its geographic footprint. In Q3, they expanded to 7 products across the Netskope One platform and tripled the number of global locations. As these and many other customer wins validate, our differentiated technology, innovative vision and customer-first philosophy are key elements in our success. They are also consistently validated by important technology industry analysts who have broadly recognized Netskope as a leader across several key markets. Netskope's placement as a leader in both the 2025 Gartner Magic Quadrant for Secure Services Edge for 4 consecutive years and a leader in the 2025 Magic Quadrant for SASE platforms for 2 consecutive years serves as an undeniable testament to this. In Q3, we were also named a leader in the Forrester Wave for SASE, scoring the highest overall among all vendors as well as scoring highest within its strength of offering category. And Netskope was also recognized as a leader in GigaOm's Radar reports for both data loss prevention and SD-WAN solutions, all testament to our superior technology, competitive advantage and astute and innovative vision. Our market leadership and industry recognition stems largely from our strong focus on innovation. I've long believed that in security networking, companies either innovate or die. Netskope innovates. We innovate constantly to help our customers stay ahead in the relentless battle against cyber criminals and navigate the ever-evolving digital threat landscape. Our customers appreciate the organic built ground up and truly integrated benefits of our offerings and the Netskope One platform. During the third quarter, we delivered several security networking and AI innovations, including advancing our universal Zero Trust network access solution to extend Zero Trust to IoT and OT devices, improve dynamic risk assessment and enable the consolidation of legacy technologies beyond just VPN to also include network access control and virtual desktop infrastructure. We also continued our AI-powered innovations that improve the efficiency and effectiveness of security teams. This included an integrated AI agent for Netskope One private access that provides insight into existing ZTNA network topologies and private application configurations for automated natural language policy recommendations. This helps administrators reduce their attack surfaces and optimize network operations. Additionally, we began a limited release of our model context protocol server, which leverages this common language of AI to enable customers to easily and securely share Netskope security context with major LLMs like cloud desktop, Microsoft Copilot, Google Vertex or Amazon Bedrock to enhance critical enterprise workflows. On the networking side, we expanded our NewEdge private cloud with new data centers in Malaysia, Toronto, Hawaii and Oman to meet growing customer demand and our continued commitment to delivering best-in-class network performance. NewEdge now covers close to 80 major metropolitan areas with over 120 data centers globally. Remember, Netskope NewEdge was uniquely and meticulously designed. We do not play marketing games with how many regions or data centers we have. Unlike others, all our regions and data centers are available to every customer and all have full edge compute and run all services. We also released several new products stemming from our technology alliances with Microsoft and CrowdStrike. Netskope One now uniquely fully integrates with Microsoft Purview, combining Netskope's deep DLP enforcement with Purview's data classification policies. We also announced general availability of Netskope One advanced SSE for Microsoft Entra Global Secure Access and new protections for Microsoft 365 Copilot conversations, including GenAI queries, responses and AI-generated content, all using our market-leading data and threat protection delivered through our new CASB API for Microsoft 365 Copilot. Together, these integrations help Microsoft customers accelerate their Zero Trust journey while protecting users' data and applications without compromising performance or experience. And finally, through our strong technology alliance with CrowdStrike, we released a new Direct to Zero Trust app. which provides out-of-the-box integration between Netskope One and CrowdStrike Falcon to enable the bidirectional sharing of indicators of compromise without the need for extensive manual integration work by the customer. We operate in a market where superior technology matters a lot. We often get asked, what sets Netskope apart from others? What drives customer adoption and satisfaction and what fuels our market leadership. As market analysts and our thousands of customers validate, the core of our differentiation is our technology and the vision that it was born from. Innovation is the heartbeat of Netskope. We are committed to continuing to invest in R&D to drive innovations that expand our industry-leading security, networking and analytics platform and help our customers safely unleash the power of cloud and AI to stay ahead of the cybersecurity curve. In closing, I'm pleased with our Q3 performance and proud of our team for demonstrating the guts, resolve, integrity and tenacity that are at the core of Netskope's culture to execute incredibly well in our first quarter as a public company. Our innovation engine is delivering seamlessly integrated products that are pushing boundaries in AI security, data protection, networking and analytics. And our road map has many exciting solutions in these areas on the horizon. At the same time, our go-to-market engine and machine is [ revving ]. We continue to attract top industry talent to support growing demand, ramp our reps swiftly, leverage and expand our technology and channel partnerships and grow our brand awareness to drive incremental [ at bats ]. We look forward to the exciting road ahead and thank our customers, partners and you and long-standing investors for their support. With that, let me now turn it over to Drew to provide financial details on the third quarter and our outlook for the fourth quarter and fiscal year 2026. Drew?
Andrew Del Matto: Thank you, Sanjay, and hello, everyone. As Sanjay shared, Netskope delivered a very strong third quarter, highlighted by accelerating growth in both ARR and revenue. Our ongoing investments in innovation and our go-to-market motion are driving tangible results as noted by our 11 percentage point improvement in operating margin. Netskope is built to scale, which positions us very well for continued efficient growth. For those coming up to speed on Netskope, let me point out that we have a SaaS-based business model where we generate nearly all revenue through subscription sales of our cloud-based Netskope One platform of products. Because of this, we view ARR as an important metric in evaluating our current business performance. We generally price our subscriptions per user based on the scale of the customer's organization and the number of products deployed. I will now share the financial highlights for Q3 fiscal 2026. As a reminder, all financial comparisons are on both a year-over-year and a non-GAAP basis, unless stated otherwise. ARR growth accelerated to 34% and totaled $754 million at the end of Q3. Total Q3 revenue grew 33% to $184 million. We also experienced strong revenue growth across the geographies. Revenue in Americas grew 34%, EMEA increased 34% and APJ grew 29%. Our teams executed well, and our investments in our sales organizations are paying off. In terms of customer metrics, the number of customers generating more than $100,000 in ARR in Q3 grew 24% to 1,444. Enterprise and large enterprise segments are our focus and more than 85% of our ARR comes from $100,000-plus ARR customers. Furthermore, the average ARR from this key segment increased 10% year-over-year to more than $450,000 per customer. This is indicative of our success in both expanding our existing installed base and securing significant new enterprise deployments. Our Q3 net retention rate, or NRR, was 118%, consistent with what we saw in Q2. Our strong NRR illustrates both the enduring value and stickiness of our solutions with customers as well as our ability to effectively upsell additional products and use cases to our installed base. In addition to NRR, we look at multiproduct adoption to demonstrate our expansion opportunity within our customer base. As of the end of Q3, 53% were using 4 or more products and 26% were using 6 or more products. We're pleased with this product adoption and also know that we have meaningful white space opportunity for expansion by cross-selling our Netskope One platform of more than 20 products. Moving on to the rest of the income statement, where we saw the benefits of Netskope being built to scale. Gross margin was 75%, an increase of approximately 5 percentage points from Q3 last year. Our gross margin expansion is being driven by the efficiency of our NewEdge architecture, which is generating better unit economics as we scale. Q3 operating expenses totaled $166 million, up approximately 3% sequentially. We realized a modest benefit to operating expenses in the quarter from the timing of a few onetime items that are now expected to fall into Q4. As I shared a few minutes ago, operating margin improved 11 percentage points year-over-year to negative 15%. R&D was 38% of revenue in Q3, down 300 basis points year-over-year as we realized the benefits of early investments in a common data platform and hiring at high talent, cost-efficient locations. We also saw improving sales and marketing efficiency, which improved 300 basis points to 41% of revenue as we continue to invest in quota-carrying sales reps. Our consistent year-over-year improvement in both gross margin and operating margin demonstrate how we've built Netskope to grow and scale efficiently. Net loss per share was $0.10 using 245 million weighted average shares outstanding. Note that our non-GAAP EPS excludes the change in fair value of the convertible notes we issued when we were a private company. The magnitude of this adjustment is unpredictable and can vary significantly from quarter-to-quarter due to stock market volatility and other factors outside of our control. Note that it's a noncash item and is not strategically relevant to our core operating performance. Therefore, this adjustment is excluded from our non-GAAP net income and EPS going forward. We've also updated our historical periods to reflect this presentation for comparability. Fully diluted share count using the treasury stock method was approximately 506 million shares as of October 31, 2025. As part of our going public process, we recognized a large onetime stock-based compensation expense as the liquidity condition on outstanding restricted stock units was satisfied. This expense resulted in a GAAP net loss in Q3 of $453 million. Stock-based compensation, including related taxes for the quarter was $416 million, driven primarily by onetime expenses related to the vesting of RSUs in connection with our initial public offering. Going forward, we are focused on managing dilution. We anticipate that stock-based compensation expenses will decrease significantly in Q4 and for the most part, normalize thereafter. We generated $11 million in free cash flow, representing a 6% free cash flow margin. We're pleased with our ability to drive positive free cash flow as this demonstrates the leverage inherent in our model. While we continue to realize the benefits of being built to scale on margins and cash flow, our path to sustainable positive free cash flow is not expected to be linear. The timing of cash collections can vary, and we expect to continue investing in the business for long-term growth. We also surpassed $1 billion in remaining performance obligations, or RPO, reflecting 41% year-over-year growth. And finally, we ended the third quarter with $1.2 billion in cash, cash equivalents and marketable securities. This includes approximately $992 million in IPO proceeds, net of underwriting discounts and commissions. Before I share our guidance for the fourth quarter and fiscal year 2026, let me briefly outline some factors that should be considered. We plan to focus our investments on innovation as well as growth. This includes hiring engineers and data scientists in focused areas to drive Netskope's road map and innovation strategy. We'll also continue to focus on hiring and ramping reps to address growing market demand for our cloud security, networking, analytics and AI solutions. Also, we expect continued improvement in our gross margin as we work toward an 80% target over the long term. The foundational investments we made in building our NewEdge private cloud network allow us to scale efficiently going forward. Also, as a reminder, we are in the midst of a shift in our customers' billing terms. where our multiyear contracts are now primarily billed annually. In the past, a higher percentage were billed upfront. This shift is expected to increase the predictability of future cash flows. Note that this transition creates some near-term variability in cash conversion, free cash flow and calculated billings. And finally, we're encouraged by cloud modernization and AI tailwinds that favor Netskope. However, we're still early in our public company journey and also in an uncertain macroeconomic and geopolitical environment. We've built our guidance with these factors in mind. Let me now provide our guidance for Q4 and the full year fiscal 2026. As a reminder, these numbers are all non-GAAP, unless otherwise stated. For Q4 FY '26, we expect total revenue in the range of $188 million to $190 million, representing growth of approximately 27% at the midpoint, operating margin of negative 13% to negative 14%; net loss per share of $0.05 to $0.07 using approximately 400 million weighted average common shares outstanding. Please note, this excludes the change in fair value of the convertible notes I noted earlier. For the full year fiscal 2026, we expect total revenue in the range of $701 million to $703 million, representing growth of approximately 30% at the midpoint; gross margin of approximately 75%, operating margin of negative 16.5% to 17%, with investments focused on supporting our continued innovation and go-to-market expansion initiatives. Net loss per share of $0.51 to $0.53 using approximately 215 million weighted average common shares outstanding. Note, this also excludes the change in fair value of the convertible notes. Free cash flow in the range of $5 million to $8 million. In closing, we remain confident in our ability to execute on our long-term strategy and innovation, driving strong revenue growth and capturing market share. We remain focused on prioritizing disciplined execution, strategic investments that accelerate growth, strengthen our competitive advantage and continue to drive margin expansion and cash flow velocity while maintaining market leadership. Our innovation drives the flywheel for our growth, and as such, we'll continue to invest in our R&D engine and go-to-market while remaining fiercely committed to delivering profitable growth. Thank you for your time today. With that, I'll turn it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Meta Marshall with Morgan Stanley.
Meta Marshall: Congrats so much on a great first quarter out of the gate. Sanjay, maybe a question for you. Just as you're seeing kind of increased attach of additional modules, are there any trends in the modules in which you're seeing traction with? And how does that change how you think about product road map?
Sanjay Beri: Yes. Great. Great question. If you look at the use cases, and I always come back to use cases, one of the top use cases for us is securing cloud and web access. Securing AI in the past 6 months has been a big one. That has drove and continues to drive our next-gen swing and our premium version of that. In addition, the consolidation for remote users and contractors has really driven our ZTNA offering. And the last one I would say is, especially with generative AI, data protection becomes even more important. People want to use and unleash AI, but they need to protect their data. And our unified data protection products, all the way from the endpoint to our in-line capabilities to our DSPM offering have also seen great growth.
Operator: Our next question comes from the line of Brian Essex with JPMorgan.
Brian Essex: Drew, Sanjay, congrats on your first public quarter. Drew, I caught your comments on sales productivity. I was wondering if you can unpack that a little bit. I think pre-IPO, you accelerated hiring of quota-bearing reps and about half of those were still unramped. Could you help us maybe give us an update in terms of where you are in that ramping process? What percentage of reps might be now in that mature category? And how aggressively might you be hiring as you kind of like enter the end of the year?
Andrew Del Matto: From a rep perspective, we're on track for hiring. When you look at -- you can go to our website, and you will see just a slew of open racks for sales teams. And so we continue to accelerate hiring globally. We're getting some of the best reps you'll find out there. I just came from one of our new hire trainings, a room full of amazing reps, hunters. And so this is really the place to be if any reps are listening, and we want to come to a great place with an over 80% conversion rate on POC, please come here. But -- so we're on track and our ramp time frames are the same, usually around 9 to 12 months.
Operator: Our next question comes from the line of Matt Hedberg with RBC.
Matthew Hedberg: Great. I'll offer my congrats as well. Sanjay, for you, obviously, agents and agentic technologies on everybody's mind. And it feels like you guys are well positioned to help customers think through their agentic journey. Just kind of curious on how you think of that piece as part of the growth story here?
Sanjay Beri: Yes. Great. It's a great question. I recently did a tour kind of across the world with customers' prospects and agentic AI, agentic workflows, securing enabling AI, top topic. If you look at where we're positioned, we see the traffic of all of our customers. We see their human traffic, their nonhuman traffic. All their AI applications go through us. So they could be using ChatGPT, they could be using AI within a SASE app. An AI agent could be originating that. We see that. And because we understand the language of AI, APIs, we see it at a more granular level than anybody else. We see -- oh, they're using Gemini, a personal instance and they're about to say reformat this health care data. Well, guess what, Netskope can stop that, yet still allow them to use that AI. And so I call that the front door of AI. It's users, AI agents, applications using LLMs and using AI. We see it, we understand it, we can protect that data and then we can put guardrails around it. And so absolutely right in our wheelhouse, and it's a big reason that we're seeing sort of the success across different verticals that we are.
Operator: Our next question comes from the line of Shaul Eyal with TD Cowen.
Shaul Eyal: Sanjay, Drew, Michelle, congrats on the first quarter as a public company. Thanks for the data on module growth during the quarter. I think it's a great practice. Also, great job on deals over $100,000. Any color you can share with us on 7-digit transactions during the quarter? And are there any 8-digit deals in the pipeline?
Sanjay Beri: Yes, it's a great question. So I think we highlighted a couple of great wins. We mentioned, for example, a Fortune 50 global pharmaceutical retailer, 50,000 employees using us for AI, cloud, SaaS, generative AI. We talked about another one where a financial institution needed to modernize and they consolidated multiple products from network to gateway to on-prem clients and so on. Those type of multiproduct where you can see now over half of our customers have 4 products, now we have 20. Those kind of multiproduct convergence where you're looking at what I call enterprise customers, right, well over 20,000, 10,000 users. Those have really been great wins for us. And the beautiful thing is the greenfield opportunity is, hey, we have 20 products. The average customer has just over 4. Our pipeline, we're not necessarily talking about specifics on that.
Michelle Spolver: Can I -- I'm going to add one thing. Sanjay highlighted 2 of the larger deals that we're landing. Also remember, we have a lot of white space on the expansion side. So one of the expansion deals that he highlighted also was a very large deal.
Operator: Our next question comes from the line of Brad Zelnick with Deutsche Bank.
Brad Zelnick: Excellent. And I echo my congrats as well. Drew, any help that you can offer in how we should think about ARR and net new ARR seasonality into Q4 and anything we might contemplate maybe even into next year? And I appreciate your comments about all the assumptions in your guidance, but also as a brand-new public company, I mean, you guys are growing in excess of 30% at real scale. I mean, it really stands out, really great. But anything you can do to help calibrate the kind of beats that we might expect going forward would be helpful.
Andrew Del Matto: Okay. Well, I think there's a couple of questions there. I think your first question really was on ARR, Brad. So we're not guiding ARR, but I do think it's helpful. We may want to just help you a little bit from a modeling perspective. If you look over really the last year, you could see that ARR was growing about 1 point faster than revenue. So just one way to kind of think about how to think about that. And then also last Q4 was very strong. It's a very strong quarter for us. So what I would consider a high bar. And Q3, also a very strong quarter. We just saw 34 -- ARR accelerating to 34%. In terms of just the guidance, again, newly public company, we are being prudent. And we also -- what Sanjay was just talking about, we have a lot of reps ramping. We continue to hire, and it's very hard to predict the rate at which we'll hire and the rate at which they'll ramp.
Operator: Our next question comes from the line of Rob Owens with Piper Sandler.
Robbie Owens: Hope to focus a little bit just around new customer acquisition and what you guys are seeing, both from a size of new lands and how that's comparing as well as are these greenfield lands or are you seeing replacement of existing technologies in terms of older SASE implementations?
Sanjay Beri: Yes, it's great. Great question. When you look at lands, there's a percentage that is greenfield. You think about the use case, securing AI enabling AI. People don't really have anything for that. Those are greenfield use cases. You think about unifying data protection, that's greenfield. No one has anything really for identifying data in their data lake for [ RAG ], but maybe they have something on endpoint. And so there's a combo, data protection, greenfield and you're replacing endpoint, e-mail, in-line DLP systems. So greenfield, a mix. And then there's pure replacement. Legacy appliances dominate. You have first-generation cloud security providers. We mentioned one who the customer could not get implemented. And so there's also a lot of that where they want to take the next step in securing cloud and web and modernize their VPNs. And so that is replacement. So it is a spectrum, and we do see all of them. As far as just size, I think you had a question on landing. You can calculate kind of our -- from previously, our average ARR and beyond. And obviously, for us, it's always been around over $150,000 or so on, and it's $170,000 now. So it continues to grow and customers continue to land with more products and then they continue to expand with more.
Operator: Our next question comes from the line of Ittai Kidron with Oppenheimer.
Ittai Kidron: Congrats, again, guys, on the first great successful quarter out of the gate. I wanted to focus on the Americas, Sanjay and Drew. I mean clearly, that's a region that you've been investing significantly in recently. I think, Drew, if I got this right, I think you mentioned Americas grew 34% year-over-year. Correct me if I'm wrong, but it didn't seem like the growth there was any materially different than the other regions. So I would love to see if you can get some color on your progression in the Americas? And how should we think about the growth pattern in that specific area?
Andrew Del Matto: Yes. So you have the right numbers. We mentioned that revenue in the Americas grew 34% in EMEA, same rate and APJ, just under 30%. And so for us, when you think about the Americas, specifically, last year, we obviously focused on taking the next step in our Americas team, right? We brought on some great leaders. We mentioned we brought on great leaders below our main leader and so on. And we've been in a big phase of just recruiting new reps. And as Drew mentioned, the focus is getting those reps ramped, getting them fully productive and so on. And so we see pretty consistent growth across all geographies, and that's great because that's great diversification for us.
Operator: Our next question comes from the line of Trevor Walsh with Citizens.
Trevor Walsh: Interesting to hear about the Microsoft partnership, especially on the purview side and what you're doing around data security. Sanjay, I was wondering if you could just maybe weigh in a little bit on how you're thinking about maybe not just the Microsoft partnership, but more broadly with some of the -- with other large platforms and how you're balancing kind of the co-opetition piece there and as customers move towards consolidation kind of larger platforms, like how you're kind of balancing that module uptick that you're seeing with those -- where you choose to kind of do higher level integration?
Sanjay Beri: Yes. So first of all, I've always believed that in security and networking, there is not one platform. Nobody wants one. I remember sitting in a room of 100 CIOs, and I asked them, where would you want to be on a spectrum of 100 to 1? Nobody wants 100, but nobody wants 1. And so the reality is they want a few, a few core platforms. and we're one of those. We consolidate 20-plus different things. It used to be called data network security, converged into one, right? But there are other platforms. There is your identity platform, your EDR, SecOps. And our philosophy is, look, we fight a common enemy and the industry needs to play well. It needs to integrate. It needs to have an open ecosystem. And so for us, that's what we focus on, right? We have integrations with pretty much every platform, security networking out there, and that includes Microsoft. We integrate with everything Microsoft has from endpoint to identity to SecOps. And so that announcement in that framework was just the next step, integrating with their Copilot, Purview and more. And our philosophy on that integration will continue.
Operator: Our next question comes from the line of Gregg Moskowitz with Mizuho.
Gregg Moskowitz: Okay. Great. Congratulations on the terrific quarter. I don't want to overstate this, but a few investors have become a bit more concerned about a slowdown or a general slowdown in network security growth this year and other aspects of network security, I should say, and whether that could portend some sort of incremental pressure on SASE going forward. Based on the strong Q3, I'm sure you're not seeing any signs of this today, but it would still be helpful, Sanjay, just to get your perspective on this.
Sanjay Beri: Yes. So I always say customers now, they don't want to throw more bad money after bad money. What's bad money in network security. Appliances, things that don't understand natively cloud, AI, things that were built to do web filtering, but not the world that people want now, which is not a [ louver ] block. And so in the broader spectrum of network security, we feed off that. We're good money. And so for us, the reason we see this acceleration in the TAM and the opportunity is people want to spend on things that move them forward in the cloud and AI world. And a lot of network security is not that. And so for us, why we don't concern ourselves with that stat or so on is we're the benefactor of that migration of that spend, right, to the right side of history, which is how do we enable cloud and AI. So SASE, one of the fastest-growing markets in security, I foresee for the next 10 years.
Operator: Our next question comes from the line of Eric Heath with KeyBanc.
Eric Heath: Congrats on the strong start as well. Sanjay, I do want to come back to the comments on Microsoft. And if you can just expand a little bit more about the uniqueness of this Microsoft partnership relative to others in the industry. And then maybe, Drew, now that it's recently [ GA ], what this could mean to the model, if anything, as we look out into next year?
Sanjay Beri: Yes. So when you look at the Microsoft partnership, we integrate with everything Microsoft has. And what we announced was -- and actually, what they announced was that they had chosen one SSE provider to go to market with. And the first one they decided was Netskope and they announced that at our conference earlier in the year. And that was what we partially announced in this announcement. The second was a lot of our customers came to us and said, "Wait a minute, you already secure all my cloud. You already secure all my web, you secure all my private apps. You understand AI and now you're going to secure that for me. We're using Microsoft Copilot. Well, guess what we can do with Copilot. We can watch everything they do in the Copilot conversations and make sure they're not conversing in the wrong way with sensitive data or make sure that there aren't threats. And so that multipronged partnership across the AI ecosystem of Microsoft, that's what our customers wanted, and that's kind of what we delivered. And so for us, when you look at organizations, mid- to large enterprises across the world, they want this independent layer, all AI, doesn't matter where it comes from. Anthropic, comes from Google, comes from Microsoft. doesn't matter what SASE app I use. It doesn't matter what website I go to. They want this independent layer that understands it and put guardrails on it. And so naturally, we're not going to go partner with 100,000 systems and app providers. We don't require the partnership. But the big ones, we both see great go-to-market and technical value of doing it. And Microsoft is obviously perhaps one of the biggest.
Andrew Del Matto: Yes, Eric. And then just on the second quarter -- the second question, excuse me. The way to think about it, it's just part of the overall modernization trend that's accounted for in the $149 billion TAM that we share. So obviously, we'll account for that when we do guide at the end of next quarter or next quarter's earnings call.
Operator: Our next question comes from the line of Shrenik Kothari with Baird.
Shrenik Kothari: Congrats on the strong start, Sanjay, Drew and team. I had a question on NewEdge, right? You have clearly invested in infrastructure full compute with the NewEdge POPs. And as LLMs, AI agents interact in real time, I would imagine latency, inline enforcement matter more and more. Do you see the edge itself as a big differentiator in customer conversation decisions and especially where potentially hyperscaler footprints are thin? And just how do you see your investment strategy going forward?
Sanjay Beri: Yes. So the short answer is yes. NewEdge is a huge differentiator. I can't tell you how many conversations I go in, and the infrastructure operations person says, "Wait a minute, you're faster. I mean I can just see it. No matter where I am in the world, I use NewEdge, my end users see that their experience is faster." You think about that and you think about AI and you think about that, hey, over time, over half the transactions on the Internet won't be from humans. They'll be from AI agents. And that AI agent network, that highway, that's NewEdge. Because when you think about us, we're about 10 milliseconds from anybody in the world. And when you come to us, you don't go over the Internet to get to where are you going? You're going to Gemini, are you going to Anthropic, right? We're one of the most peered connected networks in the world. And so for us, just like AI is an accelerator for security, it is an accelerator for the advantage we have in our infrastructure and optimizing the end user or end agent experience.
Operator: Our next question comes from the line of Gray Powell with BTIG.
Gray Powell: Yes, congratulations on the first quarter out of the box. It's great to see. So I just want to focus back in on some of the headline numbers. The acceleration in net new ARR really stood out this quarter and it's been impressive all year. And I know there's a number of factors that are driving that between sales and marketing investments and new products. Would it be possible to just sort of talk about what exactly is driving the improvement or maybe rank order what's driving that improvement? And then just how should we think about the sustainability of this improved productivity that you're seeing?
Sanjay Beri: So from a net new perspective, we're a mix, right? We're hunters. So we're landing new logos, as you saw many, and we're expanding within our existing accounts, which you can see the growth of how many customers have 4 products, 6 and so on, right? This steadily increasing our NRR of 118. And so that net new ARR, it's a mix of both, net new logo and the prolific kind of upsell opportunity we have because the average customer is 4-plus and we have 20-plus modules. And so that's a mix. Now on the go-to-market side, as you know, one of our big focuses last year was making sure worldwide we had all the sales leaders that can take us for many, many, many years to the next stage. And we brought those on. And then we brought on reps and we started ramping them and so on. And so we feel good about our go-to-market execution worldwide. You can see that in the growth, for example, in the Americas. And so that's also another driver. The summary for you is if you think about Netskope, we win over 80% of the time if we get a spot at the table, we get a POC. So the Nirvana and the whole focus of our company is just broaden our awareness, right? And one of the reasons we went public broaden our awareness, right? When you write articles, that broadens our awareness. And so for us, a lot of that driver will also just be, hey, we're getting more at bats. We know that if we get in at bat, we have an amazing batting average. And so a lot of that also is just the go-to-market expansion, the awareness expansion that will come over time as well.
Andrew Del Matto: Yes. Great question, Greg. But if you go back over the last 18 months, 2 years, we put the leadership team in place. They've done a phenomenal job of building the go-to-market engine. And now it's really all about hiring reps. And we talked about that, the hiring there and the ramp time and that impact. And what you're seeing now as we invest more reps, 34% ARR growth, 44% net new ARR growth in the quarter. So we're seeing the results that we expected to see, and they're executing very well.
Operator: Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to Michelle for closing remarks.
Michelle Spolver: Great. Thank you, Towanda. And with that, we conclude our third quarter fiscal 2026 earnings call. Thank you for joining us all today, and we look forward to engaging with you in the weeks and months ahead.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.